Operator: Good morning and welcome to the Mercantile fourth quarter 2017 earnings results conference call. All participants will be in listen-only mode. [Operator Instructions]. Please note, this event is being recorded. I would now like to turn the conference over to Mike Houston. Please go ahead.
Mike Houston: Thank you, Brandon. Good morning, everyone. And thank you for joining Mercantile Bank Corporation's conference call and webcast to discuss the company's financial results for the fourth quarter 2017. I'm Mike Houston with ‎Lambert, Edwards, Mercantile's Investor Relations firm. And joining me today are members of the management team including Bob Kaminski, President and Chief Executive Officer; Chuck Christmas, Executive Vice President and Chief Financial Officer; and Bob Worthington, Senior Vice President, Chief Operating Officer and General Counsel. We will begin the call with management's prepared remarks and then open the call up to questions. However, before we begin today's call, it is my responsibility to inform you that this call may involve certain forward-looking statements, such as projections of revenue, earnings and capital structure, as well as statements on plans and objectives of the company's business. The company actual results could differ materially from any forward-looking statements made today due to the important factors described in the company's latest Securities and Exchange Commission filings. The company assumes no obligation to update any forward-looking statements made during the call. If anyone does not already have a copy of the press release issued by Mercantile today, you can access it at the company's website at www.mercbank.com. At this time, I would like to turn the call to Mercantile's President and Chief Executive Officer, Bob Kaminski. Bob?
Bob Kaminski : Thank you, Mike. And good morning, everyone. Thank you all for joining us. On the call today, I'll provide an update on loan development, growth initiatives and asset quality. Then, our CFO, Chuck Christmas, will provide details on our financial results, followed by a Q&A. As Mike said, we're also joined on the call today by Bob Worthington, our COO and General Counsel. Mercantile delivered solid performance throughout 2017, which was evident in core profitability, strong long growth, sound asset quality, and controlled overhead costs. The fourth quarter was consistent with this performance, although, as we disclosed, our reevaluation of our net deferred tax assets resulted in increased tax expense during the quarter. This adjustment reduced tangible book value and earnings per share by approximately $0.08. In particular, let me highlight several accomplishments in areas of strategic focus during the fourth quarter and the full year. The fourth quarter produced total loan growth of $4 million, bringing our full-year 2017 growth to $180 million or nearly 8%. During the quarter, commercial loans funded to new and current clients totaled approximately $119 million. This funding activity is consistent in magnitude with the prior three quarters, bringing total funding during 2017 to $529 million. During the fourth quarter, commercial loan portfolio experienced an unusually high level of payoffs, primarily related to preservation of credit quality and margins. The contraction of the commercial portfolio occurred within the CRE book as CRE loans declined by $29 million, while the C&I book grew $80 million. This net contraction was more than offset by growth in the residential mortgage portfolio of $90 million, which in large part reflects our success of strategic initiatives focused on increasing our market presence. Included in these numbers is $14 million in loan growth, funded by our Troy office, which opened in March 2017. Our pipelines continue to be solid as they have been throughout 2017. As of year-end, commitments to fund construction projects totaled $154 million, which are expected to be largely funded over the next 12 to 18 months. We've continued to build momentum in generating non-interest income, with year-over-year gains in payroll service revenue of 28% and mortgage banking income of 14% and credit and debit card revenue of 11%. We look forward to continued growth in these areas of our business in 2018 and beyond. Our asset quality performance metrics once again reflect a strong portfolio. Total non-performing assets were $9.4 million at year-end or 0.29% of total assets. Our lenders and management continue to diligently monitor our loan portfolio. Total deposits were up $33 million during the fourth quarter, consisting of an increase in local deposits of $35 million and a decrease in broker deposits of $2 million. Non-interest-bearing checking accounts grew $40 million during the quarter. Borrowed funds are unchanged relative to the prior-year-end and wholesale funds comprised 11.3% of the total funding base at year-end. Continued growth in our local deposit base remains a strategic priority in 2018. As for the Michigan economy, the positive trend lines we have witnessed for the past year are expected to continue. Employment in our primary markets has improved compared to the year-ago period and real estate conditions continue to be healthy in our markets. Mercantile is poised to deliver a strong performance in 2018 in light of our key markets demonstrating a healthy growth, our financial condition being very strong and our core operating metrics improving. Moreover, we see additional opportunity to participate in the economic strength of our markets by continuing to thoughtfully pursue expansion opportunities as Michigan's premier community bank. That concludes my remarks and I'll turn it over to Chuck.
Charles Christmas : Thanks, Bob. And good morning to everybody. This morning, we announced net income of $8.0 million or $0.48 per diluted share for the fourth quarter of 2017. During the fourth quarter of 2016, we earned $8.1 million or $0.49 per diluted share. Net income for the full year 2017 totaled $31.3 million or $1.90 per diluted share compared to $31.9 million or $1.96 per diluted share for the full-year 2016. Excluding the impact of certain non-core transactions, diluted earnings per share during 2017 and 2016 equaled $1.89 and $1.76 respectively. These transactions include a bank-owned life insurance death benefit claim during the first quarter of 2017, the revaluation of our net deferred tax asset in response to the Tax Cuts and Jobs Act becoming law in late 2017, the repurchase of trust preferred securities at a large discount during the first quarter of 2016 and accelerated purchase discount accretion on called US government agency bonds during 2016. We remain pleased with our financial condition and earnings performance and believe we are very well-positioned to continue to benefit from lending and market opportunities, while delivering consistent results for our shareholders. Our net interest margin was 3.76% during the fourth quarter, continuing a relatively stable trend. Our loan yield has benefited from the recent rate hikes from the FOMC with each 25 basis point increase in the federal funds rate equating to about a 9 basis point increase. Although interest rates have increased in recent periods, the overall interest rate environment remains low. And when combined with strong competitions for loans, there remain some downward pressure on our loan yields. Our cost of funds, which have remained very stable for the past two years, has increased during the past several quarters, in large part reflecting higher time deposit rates, a money market deposit account special, and somewhat greater reliance on wholesale funds. We recorded $0.7 million in purchase loan accretion and payments received on former CRE pooled loans during the fourth quarter of 2017, slightly higher than the guidance provided at the end of the third quarter. Based on our most recent valuations and cash flow forecast on purchased loans, we expect to record further quarterly interest income totaling about $0.5 million during 2018. Please note that this forecast is largely based on scheduled payment and forecasted accretion entries. Negatively impacting our net interest margin by about 9 basis points during the fourth quarter was a higher-than-desired-level of excess overnight funds, primarily reflecting local deposit growth and lower-than-projected net loan growth. We expect our net interest margin to be in a range of 3.75% to 3.85% throughout 2018. This forecast assumes no further changes in the prime or LIBOR rates. Our interest rate risk measurements continued to reflect an improved net interest margin in an increasing interest rate environment. The overall quality of our loan portfolio remains strong with continued low levels of non-performing assets and net charge-offs. Non-performing assets as a percent of total assets equal only 29 basis points at the end of 2017, while net loan charge-offs equal only $1.4 million or 6 basis points of average loans during 2017. We recorded a provision expense of $0.6 million during the fourth-quarter and just under $3 million for all of 2017. Our provision expense throughout 2017 was in large part driven by commercial loan growth and increased allocations relating to periodic changes in our environmental factors. We expect to record quarterly provision expense of $0.9 million to $1.1 million during 2018. Our loan loss reserve totaled $19.5 million at year-end 2017 or 0.88% of total originated loans. No significant changes from the current level are expected in 2018. We recorded non-interest income of $4.5 million during the fourth quarter of 2017, slightly higher than the guidance provided at the end of the third quarter. We are pleased with the results of our strategic initiatives involving mortgage banking, treasury management, credit and debit cards, and payroll services, which, in aggregate, increased $1.2 million or 8.5% from the prior-year. And we are looking forward to further enhance the income performance in future periods. For 2018, we currently expect non-interest income to total between $4.4 million and $4.6 million during the first quarter, $4.7 million to $4.9 million during the second quarter, $5.1 million to $5.3 million during the third quarter, and $4.7 million to $4.9 million during the fourth quarter. We recorded non-interest expense of $19.8 million during the fourth quarter of 2017, similar to what we have spent during the first three quarters and within the guidance we provided at the end of the third quarter. Currently, we expect quarterly non-interest income expense to total between $20.2 million and $20.7 million during the first quarter and then $21.0 million to $21.5 million during the remaining quarters of 2018, which in large part reflects the expected cost of various employee and community initiatives we are exploring resulting from the reduced federal income tax rate. We expect our federal – we expect our tax rate to be about 19.5% throughout 2018. We remain a well-capitalized banking organization. As of the end of the year, our bank's total risk-based capital ratio was 12.6% and in dollars was up approximately $77 million higher than the 10% minimum required to be categorized as well-capitalized. Those are my prepared remarks. I'll now turn the call back over to Bob.
Bob Kaminski : All right. Thanks, Chuck. We'll now commence the question-and-answer period.
Operator: [Operator Instructions]. Our first question comes from Brendan Nosal with Sandler O'Neill + Partners. Please go ahead.
Brendan Nosal: Just starting off here. On the tax line, even excluding the roughly $1.3 million related to the DTA impairment, it feels like taxes were a little bit lower than I would've looked for. Is there anything else odd going on in the tax line this quarter?
Charles Christmas: Yeah. Brendan, this is Chuck. One of the things is we're going through our year-end tax calculation. We had been, throughout the first three quarters of the year, accruing taxes at an effective rate of 30.5%. And in doing our calculations, we determined that was too high of an accrual. Our effective tax rate for the whole year was closer to 29%. So, there was some back off in some of the additional accruals that we did in the first three quarters.
Brendan Nosal: Got it. That makes sense. And then, turning a little bit to the loan growth and the commercial payoffs, first, could you give us some context as to how large the payoffs were in the quarter? And then, second, based on your commentary, it sounds like the payoff pressure was primarily competitive in nature. Will you guys hold your ground on pricing and credit? And if you can just tie up the constructive commentary on the growth outlook with some of these competitive pressures that weighed on overall growth in the fourth quarter, I would definitely appreciate it.
Bob Kaminski: Thanks, Brendan. I think if you look at the payoffs that we received, as I mentioned in my comments, they were based on preservation of both credit quality and margin. And I think, as we've continued throughout our history, is that we remain vigilant to make sure that we preserve the strength of our net interest margin and saw some situations where competitors were getting a little bit overly jealous as far as presenting packages to clients. And in the case of commercial real estate, we look at that bucket and said, that's something that we're going to maintain steadfast and preserve our margins. Then a couple of other situations where we had some loans that were watchlist related that some competitor looked to refinance out of our organization and that was a welcome thing from our standpoint as well. Look at our funding. I think our fundings, as I mentioned in the comments, were consistent with what we've done throughout 2017 or over $500 million throughout the year. And as we talked about in prior quarters, we're going to have that choppiness from quarter to quarter as we have varying degrees of levels and timing the payoffs is also – timing with various of our loan fundings is going to fluctuate. And so, in this quarter, we just had a concentration of those payoffs. But consistent loan funding which is what we're looking for and I think it's what we're projecting throughout the coming year as well. We've got good solid pipeline and it's hard to predict the payoff sometimes. But in the cases that we mentioned, those payoffs were certainly, in some cases, encouraged and, in other cases, we were willing to let the relationship go because of the very competitive loan pressure that we saw from our competitor bank.
Charles Christmas: Hey, Brendan. This is Chuck. And just to add a little bit of color, we get about $40 million per quarter just in scheduled payments on term loans. So, that's $40 million, about $160 million a year that we would expect to get. So, the difference between that and the growth would be – would help account for the payoffs that we get during the quarter.
Brendan Nosal: Got it. All right. Thank you very much for taking my questions.
Bob Kaminski: Thank you.
Operator: Our next question comes from Daniel Cardenas with Raymond James. Please go ahead.
Daniel Cardenas: Good morning, guys.
Bob Kaminski: Hey, Dan.
Charles Christmas: Good morning, Dan.
Daniel Cardenas: Just a couple of questions here. In terms of the reduced tax rate on a go-forward basis, maybe some color in terms of how you think you'll be applying the additional impact to net income. You did mention that part of it looks like it was going to some initiatives on the expense side. But maybe a little bit more color if possible.
Charles Christmas: Yeah. Like I mentioned, our effective tax rate will be about 19.5%, which really, like it traditionally has, takes into account tax-exempt interest income from our municipal portfolio as well as the increase in cash value on our Bully program. We're just in the beginning processes of determining how to invest our monies. We did send an email to our employees on Friday indicating the different areas that we are looking at. Some of them are definitely employee related, but some of them also impact what we can do in the community, such as charitable giving, those types of things. So, we're not ready to talk a lot about specifics to that degree. But if you look to our – or if I remember my comments and talking and giving guidance for non-interest expense, the first quarter is a little bit lower than the other three quarters. And really what you look at there is some of the initiatives that we have talked about with our employees. We look at a beginning of the second quarter implementation with some of that stuff as we work through the details. So, the increase in my numbers really reflects the investment that we are looking to make with our employees and our communities and, again, working on those details over the next couple of months.
Daniel Cardenas: Okay. Good, good. And then, as we look at the most recent rate hike here in late December, how much of that do you think gets passed on to the depositor base?
Bob Kaminski: Well, we're definitely seeing more and more of that. We're actually going to have a pretty comprehensive review of our deposit rates this week. We definitely have been seeing – didn't really over the last few quarters – the need to increase CD rates. Our goal, on an overall, basis is to be in the top third at all times on all deposit products in our markets. And so, we've been doing that. We definitely have seen some pressure on CD rates. We're now starting to see it kind of trickle into the money market area. Haven't seen any pressures in the other deposit products to date. But I would say, still a majority of the increases are a positive to the bottom line, but we're definitely seeing some increases to our cost of funds, certainly FHLB advances, our trust preferred securities which are more tied to LIBOR, definitely some increasing rates there, which can have some impact on our cost of funds as well.
Daniel Cardenas: Okay, okay. And then, as I look at your wholesale funding, you were at around 11% of your total base. Where do you guys kind of cap out, at mid-teens or is it – are you close to your top or how should I be thinking about that?
Bob Kaminski: Good question. It's going to be a little bit different as we go through 2018. Certainly, we have – as we talked about, over the last couple of quarters, we've had a pretty high level of excess funds that we basically keep at the Federal Reserve. I guess, the benefit we get there is that the Fed Reserve continues to pay the Fed funds rate, so we are seeing an increased rate being paid on those funds. But, certainly, we're currently about $100 million more than our desired level. We certainly expect, especially this week, we expect to see a lot of our depositors making some tax payments. So, we expect a pretty notable decline in those rates here this week. And, of course, we have some of our commercial not only paying taxes, but starting to pay out year-end bonuses as well. But I would say, probably the first $30 million to $50 million of the net loan growth is going to be funded just by an extinguishment of some of those excess funds, getting that down to the desired level, which is about $40 million to $50 million. And then, as we look for the rest of the year, funding that loan growth, that's primarily going to come from the liability side. We continue to expect good solid growth in noninterest checking as we have in the last several years. A lot of that comes from continued growth in our C&I portfolio. They typically bring deposits ranging probably 10% to 20% of their loan ask. So, we have been and we continue to expect to see growth in that area. Again, we remain competitive in all of our deposit products, so we would expect to see some net growth in those as well. We do, from a budget standpoint, look to be tapping it back into the FHLB advance and maybe some of the brokered market as we get later into the year. But we're at about 11.5%. I think we peak out somewhere around 13%. And looking at our projections, our policy is no higher than 15%. So, well within that. So, I would expect that maybe to come down a little bit here in the first quarter. But then, maybe see some increases, some gentle increases in the last three quarters of the year.
Daniel Cardenas: Okay, fair enough. And then, last question, I'll step back here. Just in terms of your net charge-offs, I mean, 2017 number was relatively low. How should we be thinking about your charge-off level in 2018?
Bob Kaminski: Yeah. That's a good question. It's, obviously, something that we think a lot of – have a lot of discussion internally when we're going through – putting our budgets together, especially as it relates to what our provision expense is going to look like. We don't see anything from our portfolio perspective and also looking at the economy overall. It looks like the economy will remain relatively steady. We feel really good about how we're administering the credit quality of our loan portfolio. 6 basis points, 5 basis points, obviously, is incredibly low. But we don't see any significant impact as we go in throughout 2018 to that number. So, we would look for our provision expense and I gave you our guidance. Again, a vast majority of that being related to expected loan growth.
Daniel Cardenas: Okay, great. All right. Thanks, guys.
Bob Kaminski: Thanks, Dan.
Operator: Our next question comes from Damon DelMonte with KBW. Please go ahead.
Damon DelMonte: Good morning, guys. How is it going today? Good morning. So, as we look at loan growth, kind of heading into 2018, 2017 was a pretty solid year, I think. On a year-over-year basis, around 7.5% growth. You seem optimistic and positive with your outlook for 2018. But how do you think that translates into a full-year growth for 2018? Do you think something in that 7.5% to 8.5% range is achievable or do you think maybe it pulls back a little bit?
Bob Kaminski: I think based on the pipelines and what we've been able to do from the funding standpoint, and certainly what we're shooting for, I think the wild card in it is always the path. And if customers stalled projects, stalled building, or if you get a competitive pressure that you hadn't expected, that can cause some choppiness as we talked about. But I think, overall, based on what we're seeing on our markets, what we're experiencing with building relationships in our marketplace, I think we're very much looking forward to that continued strong fundings in 2018 as well.
Damon DelMonte: Okay. And as you look at your footprint and you look at your recent expansion efforts kind of in the southeast part of the state, where do you see the best opportunities for the growth?
Bob Kaminski: Certainly, the ones you hit on are there. Certainly, Kent County and here in Grand Rapids in West Michigan, our biggest market in the company in terms of market presence and dollars right now are concentrated as certainly a strong opportunity for us. As you mentioned, on southeast Michigan, continued growing market for us. There's some opportunities. Obviously, a very big market that we're making some great progress. So, those are the two ones. But we also see some good opportunities for us in the Kalamazoo market. I think we get some nice things going on there that we hope to see some activity coming up, as well as all of our other markets in the central part of the state. We're seeing some new activity there as well, certainly not to the magnitude of the other markets, but there are some nice opportunities nonetheless.
Damon DelMonte: Okay, great. And then, kind of along the lines of growth in kind of balancing organic versus M&A opportunities, you guys still have a very healthy capital position, which could be used to support M&A activity. What are your thoughts on possibilities of a deal happening for you guys down the road?
Bob Kaminski: I think as we always answer that question, Damon, we consider ourselves very strong on culture, and we saw with the merger with First Bank. It was based on the cultures fitting together and we certainly have opportunity to look at deals across our desk from time to time. And if an opportunity presents itself, presents obviously the financial metrics that make sense for us, but also strong management team and culture that was a good fit for Mercantile Bank, we'll certainly take a good, strong look at that. But no change from our current philosophy that we've maintained regarding M&A.
Damon DelMonte: Okay, great. And then, just two quick questions on margin, probably for Chuck, I may have missed this if you said this, but what was the core margin? So, ex the fair value of accretable yield?
Charles Christmas: I don't have the accretable yield number. I did indicate in my comments, Damon, that there was about 9 basis points of reduction because of our high level of excess overnight funds. I don't have the map in front of me to reflect what the $600,000 or so in accretion did. But it's probably pretty close, I would guess, to what we actually reported.
Damon DelMonte: Okay. All right, great. And then, just lastly, so the guided range of – I think you said 375 to 385 during the course of 2018. That does not include any rate increases by the Fed, is that correct?
Bob Kaminski: That's correct.
Charles Christmas: That's looking at where rates were at the end of the year.
Damon DelMonte: Got you. Okay. That's all that I had. Thank you.
Operator: Our next question comes from John Rodis with FIG Partners. Please go ahead.
John Rodis: Good morning, guys. Bob, a question for you just on customer outlook, I guess. Have you seen any meaningful change in how customers are looking at the world from a borrowing perspective over the past month or two, especially given the passage of the tax changes and so forth?
Bob Kaminski: No. I don't think there's been any significant change that we detected regarding the events that have happened, regarding the tax laws or anything else. I think our clients remain to be fairly optimistic about the coming year. I think as we talked about in prior calls, I think they very – everyone's looked ahead and very prudently planned when expansions will occur, when they had new opportunities, and thoughtfully look at the deployment of cash versus borrowings and the entire outlook as far as expansion goes. I think that we're seeing some customers with really good opportunity still. The markets continue to be performing well. I think the industries and such that are present on our markets are continuing to perform at a very good level. And so, nothing that presents any concerning signs. I think probably looking more at the same of what we saw in 2017 from an economic growth standpoint is what we're sensing from conversations with our clients.
Charles Christmas: I would also add from a line basis, I think we have commented in the last couple of calls that we had seen some slippage in line users, which historically has been around 50% and we were seeing that kind of gradually, but certainly, steady decline. I think at the end of the third quarter, they were right around 45% or 44%. We saw a little bit of improvement in the fourth quarter. I think we ended the year at right around 47%, 48%. So, hopefully, obviously, that's something that we would like to see is ongoing use of our credit lines and, obviously, providing some additional net interest income from that standpoint. One quarter doesn't make a trend, but it was nice to see somewhat of that slide that we saw during most of 2017 at least for one quarter subside.
John Rodis: Makes sense, Chuck. Chuck, maybe just two other questions for you. Just one, should we expect the securities portfolios to sort of remain range-bound? And then, two, just as far as capital management too, to just thoughts on the buyback, just given the level of the stock today.
Charles Christmas: Yeah. Securities, no change. We continue to peg that at 11% of total assets. And we'll continue to – likely continue to buy what we had been, which is the callable agencies and then some tax-free municipals issued by entities within our marketplace. I forgot what the other question was.
John Rodis: Just the buyback, Chuck.
Charles Christmas: Oh, the buyback. I'm sorry. We still think that where we've been hanging in on our price is still a little bit high relative to our book value, so where we should be buying back. But we still have $20 million available in our current plan. So, that's something that, obviously, we keep on the stovetop. But where we've been trading, we still think it's pretty high. But, again, we will continue to look at in light of how our stock price performs. Obviously, changes in our tangible book and certainly our overall capital levels.
John Rodis: Okay. Sounds good. Thanks, guys.
Operator: Our next question comes from Kevin Reevey with D.A. Davidson. Please go ahead.
Kevin Reevey: Good morning, gentlemen.
Bob Kaminski: Hey, Kevin.
Charles Christmas: Good morning.
Kevin Reevey: So, last quarter, I know you talked about retooling your residential mortgage business and you brought on some additional lenders. Where are you in that initiative?
Bob Kaminski: I think from the development of our platform and our operations back room, I think we're in solid shape. I think ready to rock and roll there from a client acquisition and development standpoint. I think what we've done and what we've been doing is as we see commission mortgage lenders that become available in our markets, we've been bring those onboard and we've got some nice additions to our staff in the past six months that will be certainly strong parts of contributing to that new growth in 2018. And so, I think what we see now is a good solid platform and we're looking to really leverage that platform with the current mortgage staff. And any mortgage lenders that will be a good cultural fit for us, we're going to explore it as we see those opportunities. We're certainly bringing people on board as they become available. And we feel really good about that area. We've got a really solid staff now. Stronger than we've ever had and able to generate some really nice production for us, some nice growth in 2018.
Kevin Reevey: And I know, at the end of last quarter, you had about 20 lenders. How many did you have at the end of the fourth quarter?
Bob Kaminski: I don't remember have the number at the top of my head. But I would say, generally, in the same ballpark.
Kevin Reevey: Okay, okay. And then, are you seeing any competitive pressures on lenders in your market kind of giving up on underwriting standards in order to grow commercial loans? I know you talked about loan pricing.
Bob Kaminski: It’s certainly heavy on the pricing standpoint. From time to time, you do see some institution that are being a little bit more flexible than we would choose to be on some structuring standpoint. And certainly the bigger issue has been on the pricing, but you do see some on the credit quality metrics as well.
Kevin Reevey: Okay, thank you.
Bob Kaminski: Thank you.
Operator: [Operator Instructions]. Our next question comes from Kevin Swanson with Hovde Group. Please go ahead.
Kevin Swanson: Hi, good morning.
Bob Kaminski: Good morning.
Kevin Swanson: So, many here talking about the potential for some of the tax reforms benefits to be competed away. Do you think there's specific types of business or your products that are more or less susceptible to competition and then maybe – I know you guys mentioned you're kind of in preliminary stages of talking about investments going forward, maybe just kind of how the competition influences some of your preliminary on investment in the businesses?
Bob Kaminski: I think from the initial standpoint, I think what we're doing is looking to see where we can make the biggest impact in the areas that need to be touched. I think those are the kind of things we're looking at. As Chuck mentioned, certainly from an employee standpoint and from a community standpoint, looking at some things that would a benefit to those constituencies. And that's where we continue to look at. I think from a competitive standpoint, I think you're talking about the job market and from a staffing standpoint. Obviously, it's a very competitive job market right now. The unemployment rate is very low. And you get – everyone is always looking for additional good talent to their staff and we're certainly aware of that. We've got some great people on our staff. But I think the culture that we always talk about here is very important to make Mercantile Bank what it is. I think it's an important part of our attractiveness to our current employees and also potential future employees that look to come to work for us. So, it's part of the entire package that we look at as far as Mercantile experience, and that includes a lot of things that come with it that are more of the intangible nature. But I think to go back to your question on the initiatives, we've got a few areas, as Chuck said, we're looking at and we're in the developmental stages right now. But I think it's something that we feel we can make a nice impact in all of the areas.
Kevin Swanson: Okay, thanks. And then, just one more. So, I guess, with the flattening of the yield curve coming more due to short-term rates rising, is there an increased potential for credit losses, given the higher rate levels? And, I guess, maybe does that feed into your underwriting models in terms of credit loss potential and maybe kind of what rate levels you think would lead to increased losses at all.
Charles Christmas: No, I think it's, obviously, harder to tell on an overall basis, is how much is too much from the Fed. I agree with a lot of people, is we don't want the Fed to raise too aggressively to put a big halt to whatever economic growth that may be coming because of whatever is going on in the economy, both nationally as well as globally. We have a pretty comprehensive loan pricing model that takes into account, obviously, the overall credit quality of the customer and, obviously, looking at different attributes. And it certainly does take into account the rate that's going to be charged, which has, again, driven primarily our cost of funds as well as the overall credit metrics. But we also look at what would this customer look like if we had an increased interest rate environment, and so we've always done that. We've always a certain level of interest rate increases to the cash flow calculations and we will continue to do that. Certainly, the level that we pick is somewhat subjective, although it is notable. But that's something that we can always look at. If the Fed is going to get super aggressive, we can go ahead and change that. But we always look at our portfolio as, how does it impact the customer today, what is the debt service coverage today, but we've always kind of shocked it, if you will, by looking at a higher interest rate on their credit and what the debt service coverage would be in that environment. Obviously, it's bigger than that. Obviously, the overall impact to a customer. But I think overall we feel good about how we underwrite. I think we're taking a look at how that can impact, but we – in addition to that, what we need to do is just be very, very – have our eyes open, continue to meet as we do, continue to be very judicial in our policies and how we underwrite and how we collect on credits. And again, as Bob talked about before, be willing to let some credits go to competitors, whether they just come right in and priced out aggressively a customer or maybe we've had a discussion with the customer that says that maybe it's time to part ways and they go ahead and look for a new home. So, there are a lot of different things that go into play. But I think the most important part, from my perspective, is just making sure that we continue to underwrite properly, continue to have our strong administration practices, which includes pruning the loan portfolio. When certain credits rise to the top, they need to be pruned.
Bob Kaminski: Yeah, that's absolutely right. Knowing your clients, knowing what they're involved with, and Chuck talked about stressing cash flow on a client by client basis, as you analyze the credit to make sure that, given potential rising – continually rising interest rate scenarios that those stresses on the cash flow by an increased interest expense can be absorbed within the confines of their cash flow cycle.
Kevin Swanson: Okay, thanks. That's helpful. That's all I had.
Bob Kaminski: Thank you.
Operator: We have a follow-up question from Brendan Nosal with Sandler O'Neill + Partners. Please go ahead.
Brendan Nosal: Hey, guys. Just a follow-up on the margin. I appreciate the color you guys offered in terms of the NIM drag due to excess overnight funds. Just wondering, how much of the 9 basis points drag you have coming back into the margin in the first quarter to 2018 that's build to your guidance of 3.75% to 3.85% margin for the full year?
Charles Christmas: Yeah, I would say probably – I'm hoping to get about half of that back here in the first quarter. As again, we will first use, as I mentioned, those funds to fund some deposit withdraws relating to some expected federal tax payments by certain of our customers and bonus payments and then – so, I think we'll get about half of that back here in the first quarter. Then we'll start lending that money as we get later into the quarter. Then, I would expect that whole 9 basis points to be back into our margin in the second quarter and beyond.
Brendan Nosal: Perfect, thank you.
Bob Kaminski: Thank you.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Bob Kaminski for any closing remarks.
Bob Kaminski: Yes. Thank you for your interest in our company and we look forward to talking with you again after the first quarter. Thank you for joining our conference today.
Operator: The conference has not concluded. Thank you for attending today's presentation. You may now disconnect.